Operator: Thank you for standing by and welcome the Garmin Limited Fourth Quarter 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentations, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's conference call is being recorded. I would now like to turn the conference over to your host, Ms. Teri Seck, Director of Investor Relations. Ma'am, you may begin.
Teri Seck: Good morning. We would like to welcome you to Garmin Limited's fourth quarter and fiscal year 2021 earnings call. Please note that the earnings, press release and related slides are available at Garmin's Investor Relations site on the internet at www.garmin.com/stock. An archive of the webcast and related transcript will also be available on our website. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, gross margins, operating margins, future dividends or share repurchases, market shares, product introductions, future demand for our products and plans and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K filed with the Securities and Exchange Commission. In particular, there is significant uncertainty about the duration and impact of the COVID-19 pandemic. This means that results could change at any time, and any statement about the impact of COVID-19 on the company's business results and outlook is the best estimate based on the information available as of today's date. Presenting on behalf of Garmin Limited this morning are Cliff Pemble, President and Chief Executive Officer; and Doug Boessen, Chief Financial Officer and Treasurer. At this time, I would like to turn the call over to Cliff Pemble.
Cliff Pemble: Thank you, Teri and good morning, everyone. As reported earlier today, we ended 2021 with fourth quarter revenue of $1.39 billion, up 3% over the prior year, representing a new record for Garmin. During 2021 quarter by quarter comparisons to the prior year have been difficult to interpret – due to pandemic driven swings of 2020. It's interesting to note that revenue grew 12% on a CAGR basis compared to Q4 of 2019. We believe this comparison better reflects the underlying strength of the business and we are very pleased with our development over these past two years. Operating profit came in at $315 million, down 15% over the prior year. Gross margin declined due to pressure that every business is facing notably higher freight costs. In addition, operational expenses increased for a variety of reasons, including higher associate headcount, increased compensation costs and the increase of certain operational expenses as business activities normalize. Even with these headwinds operating margin remain very strong at 22.6%. 2021 was our sixth consecutive year of revenue and operating income growth establishing new records for the company. Revenue increased 19% to nearly $5 billion and operating income grew 16% exceeding $1.2 billion, each segment delivered strong double digit revenue growth. I'm very proud of what we accomplished, especially considering the challenging operating environment everyone is facing. The availability of electronic components has been a major topic of conversation over the past year. While we are not always able to get everything we need, we believe we've been very effective in managing the situation as evidenced by our results. Our vertically integrated business model gives us greater levels of agility and flexibility in this dynamic supply chain environment. However, it's the creativity, determination and teamwork of our associates that made these accomplishments possible. I'm very proud of our associates and I'm grateful for all they have done. Looking forward we are encouraged by the opportunities of the new year. We have a great lineup of recently introduced products with additional introductions planned throughout the remainder of the year. We anticipate consolidated revenue will increase approximately 10% to $5.5 billion driven by new product introductions and strong market trends in many of our segments. Our results and outlook for the new year give us confidence to propose a 9% dividend increase, which will be considered by shareholders at the upcoming annual meeting. Before moving on to segment highlights, it's important to share context on how we see the business and markets evolve in 2022. The pandemic drove additional demand in certain product categories, which is starting to normalize from peak levels. This will create additional dynamics to consider for the coming year. And I will note these as I cover each segment. The nuances of individual categories are not a major concern for us, rather, it's our strategic focus on diversification that brings many opportunities for growth, which is the basis for our outlook for 2022.  Starting with the Fitness segment, revenue increased 16% for the year as strong demand for advanced wearables and cycling products fueled our growth. Full year growth and operating margins were 53% and 24% respectively, resulting in operating income growth of 17% over the prior year. In the fourth quarter Fitness revenue was flat over the prior year as growth in wearables was offset by lower revenue in cycling. Product differentiation is a key factor in our ability to compete in the market for wearables. Lily is a great example with its small form factor, appealing design and unique display that hides when not in use. Customers buying Lily are overwhelmingly new to the Garmin brand, demonstrating the power of differentiation to attract new customers. The cycling category has more than doubled over the past two years, fueled by pandemic-driven demand for both indoor and outdoor cycling products. The market is starting to normalize at levels below recent peaks, but well above pre-pandemic levels. With this in mind, we expect Fitness revenue to be flat year-over-year, as grow growth and wearables is offset by lower revenue in cycling products. In addition, we expect revenue to decline in the first half as we compare against stronger periods from the prior year. In the back half of the year, we expect to return to growth as the cycling market stabilizes and with contributions from new products. In the Outdoor segment, full year revenue increased 14% with growth across multiple categories, driven by strong demand for adventure watches. Full year gross and operating margins were 65% and 38% respectively resulting in operating income growth of 9%. In the fourth quarter, Outdoor revenue decreased 8% primarily due to component constraints in our traditional handheld and dog product categories. We ended the year with unusually high back orders, which were pushed into the new year. On January 18 we announced sweeping updates to our fēnix adventure watch series featuring a distinctive new design and a touchscreen display. We also announced the all-new EPIX with a bright AMOLED touchscreen display and class leading battery life up to 16 days. Last week, we announced the all-new Instinct 2 Series in two sizes, which will expand the addressable market for this unique adventure watch. Select Instinct 2 models with solar technology can operate indefinitely using only the power of the sun, which is a breakthrough achievement in the smartwatch market. Demand for these new products has been very strong and we expect them to be a significant catalyst for growth in the coming year. With these things in mind, we anticipate outdoor revenue will increase approximately 20% for the year. Looking next at the Aviation segment, full year revenue increased 14% due to contributions from both OEM and aftermarket categories. Full year gross and operating margins were 73% and 27% respectively, resulting in operating income growth of 40%. In the fourth quarter, Aviation revenue was up 13%, driven by growth in OEM categories. Aftermarket sales were flat due to component supply constraints. Aviation also ended the year with unusually high levels of back orders, which carry into the new year. The pandemic highlighted the unique value proposition of general aviation. Aircraft OEMs are reporting robust orders from both new and existing customers. Aftermarket demand is also strong as customers invest in new cockpit systems. We expect these to ends to drive revenue growth of 10% for the year with revenue exceeding the peak we experience during the ADS-B mandate. We expect incrementally stronger growth in the back half as production levels increase over the course of the year.  Moving to Marine, the segment delivered another year of impressive results. Revenue increased 33% with broad-based growth across all categories, led by strong demand for chartplotters. We benefited from both market expansion and share gains driven by our strong product portfolio. Full year growth in operating margins were 57% and 28% respectively, resulting in operating income growth of 39%. In the fourth quarter, Marine revenue increased 14% as the strong trends we experienced throughout the year continued. We recently acquired Vesper Marine, a company specializing in the design of modern VHF radio systems for the Marine market. Looking forward, we anticipate that strong interest in boating and fishing will remain strong. Boat builders continue to report strong sales and retail partners are preparing for another year of growth. With these things in mind, we anticipate revenue from the Marine segment will increase 15% surpassing the $1 billion threshold for the year. Moving finally to the auto segment. Full year revenue increased 26% with contributions from both auto OEM and consumer auto categories. Full year gross margin was 39% and we recorded an operating loss of $71 million, driven by investments in auto OEM programs. In the fourth quarter, auto revenue was up 21% with contributions from consumer specialty categories and new OEM programs. In consumer auto, we continue to launch new specialty categories that lead to growth opportunities. At CES, we announced the tread series for the side-by-side vehicles, bringing off-road specific features and inReach communications to the side-by-side market. Last week, we announced the Instinct Dezl Edition, the first smart watch designed specifically for the trucking market. BMW recently unveiled their vision for in-car entertainment, bringing a truly cinematic experience into the vehicle. This immersive entertainment system is powered by a multimedia computing platform designed and built by Garmin. We continue to invest heavily to bring this and other BMW systems to market. The investment has been more insignificant than anticipated and these investments are expected to continue throughout the remainder of the year as we fulfill our obligations to BMW. This will result in auto OEM operating loss for the year that is roughly comparable to that of 2021. We expect to start production of the next-generation BMW computing platform later this year at low volumes with a more meaningful production ramp occurring in 2023. With these things in mind, we expect total auto revenue to grow approximately 5% for the year. So that concludes my remarks. Next, Doug will walk through additional details on financial results and our updated guidance. Doug?
Doug Boessen: Thanks Cliff. Good morning, everyone. I'd like to begin by reviewing our fourth quarter and full year financial results, provide comments on the balance sheet, cash flow statement, taxes and 2022 guidance. We posted revenue of $1.3 billion for fourth quarter, representing a 3% increase year-over-year. Gross margin was 55.5%, 300 basis point decrease on the prior year quarter. Decrease was primarily due to higher freight costs and favorable impact of foreign exchange rates. Operating expense as a percentage of sales was 32.8%, 170 basis point increase. Operating income was $315 million, a 15% decrease. Operating margin was 22.6% for an 80-basis point decrease from the prior year. Our GAAP EPS was $1.48, pro forma EPS was $1.55, a 10% decrease in the prior year pro forma EPS. Looking at the full year results, reported revenue over $4.9 billion, representing 19% increase year-over-year. Gross margin was 58%, 130 basis point decrease in the prior year. The decrease was primarily due to higher freight costs.  Operating expense percentage sales was 33.6% [indiscernible] basis point decrease. Operating income was $1.2 billion, a 16% increase. Operating margin was 24.5% a 70-basis point decrease in a prior year. Our GAAP EPS was $5.61, pro forma EPS was $5.82 and 13% increase in a prior year pro forma EPS. Next, we’ll get fourth quarter revenue by segment and geography. During the quarter, we achieved consolidated growth of 3% with double-digit growth in the Aviation, Marine, Auto segments partially offset by declining in the Outdoor segment. Fitness segment is relatively flat year-over-year. By geography, 8% growth in APAC and 5% growth in Americas was partially offset by declining of 2% in EMEA, which was natively impacted by foreign exchange rates during the quarter. For the full year 2021, we achieved 19% consolidated growth with solid double-digit growth in all of our five segments. By geography, we achieved double-digit growth in all three regions led by 21% growth in APAC followed by 19% in Americas, 18% in EMEA. Looking at operating expenses, fourth quarter operating expenses increased by $37 million or 9%, research and development increased $22 million year-over-year, primarily due to engineering personnel costs. SG&A increased $15 million compare to prior year quarter, primarily due to increases personnel related expenses, information technology costs. Our advertising expense was consistent the prior year quarter. A few highlights on the balance sheet, cash flow statement and dividends. We ended the quarter with cash and marketable securities approximately $3.1 billion. Accounts receivable increased sequentially $843 million of the strong sales in a fourth quarter and was relatively flat year-over-year. Inventory increased year-over-year to $1.2 billion increases due to several factors, including preparation for first quarter product launches, increased level indoor recycling products, expansion of our global manufacturing footprint and executing our strategy and increased data supply to support increasingly diversified product lines. During 2022, we expect our inventory balance continue to grow, to work to optimize the mix of ocean versus air freight shipments carry sufficient level of safety stock to mitigate increased lead times and generally manage the supply of raw materials. In the fourth quarter 2021, we generated free cash flow of $49 million. For the full year 2021, we generated free cash flow of approximately $705 million, $245 million decrease in the prior year, primarily due to increased inventory levels and higher capital expenditures. 2022 expect free cash flow for approximately $725 million approximately $310 million of capital expenditures. For 2022 expected continued make investments, platforms or growth, including our Taiwan manufacturing facilities continued renovation of our Olathe facilities to increase work space capacity and IT related projects. Also, we announced our plans to seek your approval for an increase in our dividend beginning with the June 2022 payment. Proposal the cash dividend of $2.92 per share or $0.73 per share per quarter, the 9% increase from our current quarterly dividend of $0.76 per share. For full year 2021, report an effective tax rate of 10.3%. Turning next to our full year guidance. We estimate revenue approximately $5.5 billion, an increase of 10% over the prior year, double-digit growth in three of our five segments. We expect gross margin to be approximately 57.5%, which is lower than in our full year 2021 gross margin, primarily due to higher supply chain costs and less favorable foreign exchange rates partially offset by increases in selling prices. We expect an operating margin approximately 22.8% and the full year pro forma effective tax rate is expected to be approximately 10.5%, results in expected pro forma earnings per share approximately $5.90 cents. Finally, I discuss the changes in our methodology for classification of certain expenses, an allocation of certain expenses among the segments, trying to reflect these changes in our reporting for the first quarter of 2022 and prior periods will be recast conform to revised representation. The new expense classification result in less indirect SG&A costs and classified as R&D expense, which we believe will provide a more meaningful representation, the cost incurred to support R&D activities. Consistent the way management will use information, decision making. Basically, the approximately $61 million of expense as classified as R&D 2021 will be recast as SG&A. Future reports will also reflect refined methodology to allocate certain SG&A expenses to segments in a more direct manner, based on analysis of activity supported by the expenses. We believe this refined allocation approach result in more meaningful reputation of segment operating income. We estimate that Fitness and Outdoor be allocated more SG&A expenses resulting in lower operating margin while other segments be allocated less SG&A expenses, resulting in higher operating margin. These changes have no impact from a consolidated operating income or net income. Concludes our formal remarks. Valerie, please open a line for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes to Nik Todorov of Longbow Research. Your line is open.
Nik Todorov: Yes, thanks, and good morning, everyone, and congrats on great execution and results. Cliff, I think I heard you mentioned during the prepare remarks that you raising prices in some segments. Can you talk in which categories or segments are you able to mitigate the rising input cost and how should we think about the cadence of that mitigation throughout the year? I’m assuming in some segments, it’s harder to pass through to increase prices immediately.
Cliff Pemble: Yes. Nik, we have a diversified business. And so, each segment and sometimes within each segments different product categories have different considerations, when it comes to pricing. We’re looking at a combination of both more broad price increases where we are able as well as resetting product pricing as we introduce new products. I think that’s most of what I would probably comment on right now and I think it will take some time for some of these changes of course, to come through, but I’m confident that we’ll be able to see a difference as time goes on.
Nik Todorov: Okay. And as a follow-up, can you talk about how are you navigating through the component constraints? I think particularly in navigation, something we’ve heard is that obviously component lead times have stretched quite a bit, but some components that are used in avionics have been announced as end of life. So, I’m just curious, are you facing any redesigning activity and how should we think about potentially that impacting aviation margins in the near-term?
Cliff Pemble: Yes, I think component constraints have been a challenge for a while now, as I mentioned in my remarks, vertical integration is a huge differentiating factor for us, because we’re able to use alternative components and we’re able to redesign things when we need to. And we have maintained very good relationships with suppliers. They’re under a lot of pressure at this time too. And they certainly get a lot of people beating them up. We try to focus on relationships. But that said, particularly in aviation, you mentioned end of life as a potential issue. That’s really not a new thing in aviation. I think avionics designs tend to have longer life cycle. So consequently, we’ve dealt with that issue for a long time and we manage through that mostly through a combination of redesigns and also safety stock. So again, I think we’re able to handle this situation better than most because of our strong R&D and our focus on vertical integration.
Nik Todorov: Got it. Very helpful. And Doug, if I can sneak one in for you. Just can you talk about OpEx put and takes in 2022. I know you mentioned you’re going to be changing that and then reallocating expenses. But based on the current reported basis, how should we think about OpEx parts moving as a percent of sales?
Doug Boessen: Sure. So yes, percentage of sales for the full year and looking at the different categories, I’ll talk about it on the new methodology from that standpoint. That’s the way we’re reporting in 2022 and recasting 2021. So, we expect, on overall operating expenses as a percentage of sales year-to-year probably about 120 basis point increase year-over-year. And looking at the various categories first advertising, we expect advertising as a percentage of sales to be up slightly, maybe about 10 basis points. And looking at R&D, we expect that to be up probably about 40 basis points as a percentage of sales. There we’re continuing to make investments and head count as well as compensation related items impacting R&D. Then in SG&A we expect that to be up about 70 basis points as a percentage of sales year-over-year. There the big driver is primarily IT costs, but also, we’ll see increased costs in other parts of our business, such as product support, operations, just because of increased volume as well as more consumers and users.
Nik Todorov: Got it. Very helpful. Thanks guys.
Doug Boessen: Thank you.
Operator: Thank you. Our next question comes from Paul Chung of JPMorgan. Your line is open.
Paul Chung: Hi. Thanks for taking my questions and very nice quarter. So just on margins, given the very strong kind of outdoor aviation, revenue guide would’ve thought that kind of overall margins would’ve seen some benefits there, even with the kind of negative auto contribution this year. So, can you quantify maybe the freight components kind of headwind baked in the margin guide?
Doug Boessen: Yes, this is Doug. We don’t give a breakout of the different components of gross margin on freight. I can give a little bit background on what’s driving that. The 50-basis point decline, so we do expect to see higher supply chain costs year-over-year. Freight increased during the year in 2021. So, we’re going up against tougher comps in freight first part of the year. Also, we’ll see some headwinds relating to FX, also foreign exchange rate in there too, that will give us some headwinds in there too. And then as Cliff mentioned, we’re looking to increase selling prices where we can. But as you mentioned, there’s a lot of puts and takes, a lot of moving parts and that gross margin you have, like you’ve mentioned, some different things relating to segment mix. And there we factored in new product launches, but there overall, still some headwinds on the supply chain side of things and FX that are bringing that I’ll say from an overall basis down about 50 basis points.
Paul Chung: Got you. And then just on outdoor, you know, with handheld and dog products maybe pushing into 2022, should we expect a little less seasonality in 1Q as a result. And then if you could expand on the outdoor guide, which is quite impressive. What’s driving the confidence in that guide and how has the fēnix refresh been received?
Cliff Pemble: Yes, I think the handheld and dog products as I mentioned, Paul, the back orders for those of course, push into the New Year, and those were driven by supply constraints that we experienced at the end of last year. Those are getting incrementally better, although, we still are taking a wait and see attitude, that we’re building and shipping everything that we can. I think that those categories, are meaningful, but small in the overall scheme of the outdoor segment. So, I don’t think you’re really going to notice a lot of seasonality effect because of that. In terms of the guide, and the potential impact on from the new adventure watches that we introduce. The reception to those watches has been very strong as I mentioned. And of course, the interest in those products and the momentum from them is behind our 20% estimate growth for the year. So, we’re very pleased with that. And we think we’ll have a very good year in outdoor.
Paul Chung: And then lastly, on aviation, your guide implies, revenues now, well above the record 2019 levels on ADS-B, but what’s driving the guide this year? How’s the product portfolio evolved? And then how should we think about operating margins for 2022 in aviation? Can we end the year kind of approaching that 30% or exceed that? Thanks.
Cliff Pemble: Yes. So definitely we’ve recovered a lot of revenue that went away after the ADS-B mandate. We expected that revenue to go away because it was a once in a generation mandate from the FAA to equip every general aviation aircraft, which once that’s done that opportunity, of course, has gone, but we’ve been able to recover those revenues through a strong product line, particularly our flight control systems are very strong, very well received in the market and that’s driven upgrades in cockpits. And as I mentioned in my remarks the general sentiment around OEM aircraft makers is that order books are strong. Customer interest is very strong, and of course, we’re in the bell curve of general aviation, which gives us the ability to grow along with the market there.
Operator: Thank you. Our next question comes with Jeff Harwin of Deutsche Bank. Your line is open.
Jeff Harwin: Hi, thanks for taking my question and congrats on a good quarter and a year. Your auto OEM business is clearly a good growth opportunity for you going forward, but at a lower margin compared to some of your other businesses. How do you think about the revenue growth opportunity versus the headwind to gross margin for the overall company for this business?
Cliff Pemble: Well, I think Jeffrey, the opportunity in auto OEM, of course, is the large scale that, that comes with these big programs. So that’s what we’ve been investing to bring to market. As I mentioned they do come with a different margin profile that hasn’t really been our concern relative to the rest of the business, because we’re focusing on the revenue growth and the scale opportunity. But the challenge for us in going forward, of course, is proving that we can get that scale and also be profitable in the business.
Jeff Harwin: Great. Thank you. And as a follow-up, you noted a reduction in your cycling products in your prepared comments, and there have been some demand concerns that one of the largest indoor cycling companies recently. How do you think about this business going forward? And if there was some pull in during the earlier part of the pandemic, how long do you think this takes to work through before the business kind of returns to typical growth?
Cliff Pemble: Yes, I think your question is interesting. I – we’re not here, of course, to talk about specific names, but I think I understand your comment. And I would say that our indoor cycling products are very different from some of the headline companies that have been talked about a lot recently. Our products are focused on athleticism and performance. And we're not really in the spin bike business, which has been hit pretty hard by people returning to gyms. But in terms of a pull in there, there probably was some, people got interested in those kinds of products. So, they did equip their bikes, they did equip their homes with training devices, but as I mentioned we're seeing the market sell out, normalize around levels above that of 2019, which was the last normal year in that cycle. So, there's some high channel inventory right now, not necessarily specific to our product lines, but every trainer maker rushed into the market and filled the channels. And so that will take some time to work through. We expect probably the better part of this year before things really normalize.
Jeff Harwin: Great. Thank you.
Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from Ben Bollin of Cleveland Research. Your line is open.
Ben Bollin: Good morning, everyone. Thanks for taking the question. Cliff, I guess it's been dance [ph] around a little bit, but when you look at the spread in terms of your 2022 guidance for outdoor and fitness, there is widest gap we've seen since, I guess, 2017 and being about a 35-point spread between the two in terms of year-over-year growth. But I guess I'm interested in your thoughts on the high-end wearables within the segments, do you see any secular changes out there which are moving the difference between the two outlooks in the growth rates or going back to that last question, do you think it's just inventory in cycling, what's driving that spread?
Cliff Pemble: Well, lots of moving pieces Ben. And you've kind of hit on the major ones. The one thing I would just highlight in addition is that product life cycle differences between the two segments can definitely impact the growth patterns between the segments we're coming off a super strong launch in outdoor, as I mentioned with the new fēnix, the epix and the Instinct products, and the cadence of introductions and fitness is a little bit different combined that with the overall normalizing of the cycling market. That's why there's the difference between outdoor and fitness.
Ben Bollin: Okay. and the last one for you is, if you look through the elevated auto OEM investment that are happening right now, when you're on the back-end of this, when you're into 2023, any thoughts on what a normalized margin might look like within that business over time?
Cliff Pemble: I think we've mentioned before and is very typical in the auto business that the margins can be in the mid-to-high teens on certain highest volume product lines. So that's what we're expecting, I think that's what we've communicated before to the market.
Ben Bollin: Great, thanks.
Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from Will Power of Baird. Your line is open.
Will Power: Okay, great. Thanks. Yeah, I guess a couple of questions, maybe circling back on fitness. I know, Cliff you noted some of the cycling headwinds, which probably aren't a big surprise, but we'd love to get a bit more color on the confidence and key drivers within the wearable segment that you expect to help offset some of the cycling pressure. And I guess within that, any color on Forerunner and what you're seeing there, is that something that you think can grow as we kind of come out of the pandemic, just thoughts there too?
Cliff Pemble: Yes, I think, we put out our view of the year based on a high level of confidence that we can achieve what we say. I think that we’ve seen a continual strength in the advanced wearable. That’s really all products with GPS smartwatch capability in our fitness product line. So, we – that includes runner that includes Venu and vívoactive and all those kinds of products. We’re coming off of strong releases from last year and some of the advanced consumer wearables, and then our running products have refreshes coming as well. So, all of those things coming together, we feel like will be positive things. And when you consider that events particularly races like 10-Ks, half marathons, marathons have been mostly canceled during the last two years as some of those start to come online, we think it will drive additional interest in running products.
Will Power: Okay. And then just second question on marine, how do we think about, the potential pull forward impact you saw there? Obviously, you’re competent in a continuing strong growth outlook. So, it feels like you’re not expecting as much of a comp issue there, but would love any kind of color there? And then, any thoughts on best marine and the impact that would have on the 2022 guidance.
Cliff Pemble: In terms of a potential pull forward in marine? It’s always a possibility, I suppose, but in general, the marine market has been very constrained with the supply of boats, whether it’s new boats from manufacturers or used boats, people are not letting go of their boats. And so consequently they’re equipping their boats, there are a lot of boats out there and use that have very old equipment. These are long lived assets on the boats. So, there’s plenty of opportunity for retrofit in the market. And as the new boats are built, many of them are equipped with government products. And so, we believe that the growth opportunity in marine is still very good. In terms of Vesper just quickly comment on that. I would say that it’s a technology and engineering acquisition for us. So, it’s not material in terms of revenue or cost structure, but the group had very significant design capabilities in the area of VHF radios. And so that’s an area we want to build our capability in.
Will Power: Great. Thank you.
Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from Erik Woodring of Morgan Stanley. Your line is open.
Erik Woodring: Hey guys, thanks for taking my question. Maybe if we just stay on marine for one second. Can you help us just better understand how the drivers of the marine business are changing at all meaning, we know there are still backlogs that’s in the OEM business, that’s typically a smaller part of your marine business, but what do you just seeing in 2022 versus 2021 that give you the confidence in the 15% growth?
Cliff Pemble: Yes, I would say Erik it’s really the same factors that drove 2021 carry forward into 2022. We see strong demand from the – the both builders as they ramp up production to fill the demand. They’ve got historic back orders on their books as well. So, they’re increasing their production that benefits us. And then generally the enthusiasm around new technologies in marine, particularly the fishing area and the advanced sonars that we offer continues to be strong, bringing new people into the market, causing them to replace their old equipment, including both sonars and chartplotter. So, these trends have been the same for a while now, and we expect those to continue in 2022.
Erik Woodring: Okay. Thank you. And then maybe if we just touch on the cost side, I guess based on the kind of the revenue and segment revenue, and then total gross margin disclosure, we do have to assume that gross margins are down across most segments. Is that fair to think, or should it be more acute in certain segments? And then on the operating side, just, is the pressure mostly blamed on investments and autos or again is there investment outside of autos that is going to be more elevated in 2022 relative to say 2021?
Doug Boessen: Yes. Regarding gross margin it's – lot of factors to take place there, product launches, new products take out consideration, some are more impacted on FX than other ones. And as Cliff mentioned some relating to selling prices. So, we do expect probably some kind of depressed overall consolidate, but I think it's going to be a mix among the various segments to get that overall, one. And I probably would say [indiscernible] one would probably would see that gross margins, we'd say that would be down year-over-year, just because the BMW would be a bigger piece of that overall business. And then fitness, also some of the pressures that they have probably be down there too, and allowance probably dependent upon what the product launches and all those different things related. Late into the cost side, yes, auto inside R&D expenses will probably be up over the previous year in 2021, but also, we're seeing increased investments across all of our businesses, R&D will make those investments to drive innovation as well as to see some – from the SG&A side of things, IT type of costs increasing, those type of things just higher level of our business, larger footprints. We have manufacturing operation, those type of things are driving some expenses in there also.
Erik Woodring: Okay. Thanks guys. I appreciate it.
Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from Ron Epstein of Bank of America. Your line is open.
Ron Epstein: Hey Cliff. Good morning.
Cliff Pemble: Good morning.
Ron Epstein: In your supply-chain relative to aviation, right, I mean the, the private aviation market is pretty much on fire, right. So, I would imagine the demand signals you're seeing from some of your OEM customers, if they're not really strong right now, they will be soon. I mean, how are you set up for that potential ramp?
Cliff Pemble: Well, we're prepared with plenty of factory capacity. We have always focused on a strong supply chain in aviation so that we can meet the needs of our customers. And as I mentioned in my remarks, absolutely we see the demand from the OEM side and they're reporting robust orders and so we feel like we're very prepared for the increases that they're looking at.
Ron Epstein: Great. And then what, in terms of – if you can even shed any light on it, because I know it's sensitive thing to talk about, but what's going on, on the new platform side. I mean, are you guys actively working with OEMs on potential new platforms?
Cliff Pemble: Sure.
Ron Epstein: That's it, sure.
Cliff Pemble: Well, we're always working on things and of course we can't share anything in advance, but we're always working with new customers and new platforms.
Ron Epstein: Right. Fair enough. I know that's a tough question but, and then with the fēnix in the EPIX – the fēnix 7 and the new EPIX, which are you seeing a better response to because they seem to be pretty similar product?
Cliff Pemble: They're. I suppose, they're similar in some respects, but they're really very different and they probably appeal to different users, but they've both been very strong. We're especially pleased of course with epix. I think people have embraced that very quickly and in both of those product lines, we're seeing very strong demand, which exceeded our expectations.
Ron Epstein: Got it. And I mean, the natural question that exceeded your expectations. Did you have the supply chain to meet that demand?
Cliff Pemble: We feel like, we have plenty of contingencies. And we're working on increasing our supply.
Ron Epstein: Got it. And then maybe just one last question around just logistics, given that you've got a relatively complex supply chain, meaning you've got stuff coming from Asia, and then you've got stuff built here in the U.S., how are you seeing, the kind of the transpacific logistics of product?
Cliff Pemble: I think that the situation is challenging, like everyone is reporting. So, we are no different than that. We see the same things and we're working on managing that situation. The best we can. It's a pragmatic balance between product availability, which speaks to shorter, faster shipment methods, which of course are more expensive versus inventory levels, which allow us to get inventory on slower modes of transportation, which are more affordable. So, we're, doing our best to balance and I think we have a lot of levers that we can use in doing that.
Ron Epstein: Okay, great. Thanks, Cliff.
Cliff Pemble: Thank you.
Operator: Thank you. Our next question comes from Derek Soderberg of Colliers Securities. Your line is open.
Derek Soderberg: Hey guys. Thanks for taking my questions. Cliff, just curious if you could talk more about the retail channel broadly. Those have been some reporting that a lot of Q4 growth came from inventory building. So, if you could just share what you're seeing as it relates to in, sell in, sell through broadly, that'd be great.
Cliff Pemble: And I think retail channels were very dry for all the reasons that we know. And so certainly retailers wanted to have inventory available, so that they could sell to customers. But at this moment, we feel like sell through is very good. We can definitely track sell through, through our product registrations and our app platforms, and we feel good about what we see there and we don't believe there's any imbalances that are material out in the channel, except for the ones we've noted, which is really the trainer market.
Derek Soderberg: Got it. And I also wanted to ask about supply, you guys have done a really good job on inventory. Seems like, you've done better than most. Now you have more capacity online with the new facility. Have you been, to any degree benefiting at all from supply chain issues, relatively speaking versus competitors, and I guess in terms of Garmin, just more product on the shelves?
Cliff Pemble: Yes, I think, we have been the beneficiary of some of the challenges that others have faced. So, our investments in inventory, our investments in capacity and our ability to be agile with our product designs has helped us a lot in several segments.
Derek Soderberg: Got it. Thank you.
Cliff Pemble: Thank you.
Operator: Thank you. I'm showing no further questions at this time. I could turn the call back over to Teri Seck for any closing remarks.
Teri Seck: Thanks everyone. As always Doug and I are available for callbacks throughout the day. Have a good one. Bye.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s conference call. Thank you for participating. You may now disconnect.